Operator: Good day, and welcome to the Lamb Weston Second Quarter 2020 Earnings Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Dexter Congbalay, VP, Investor Relations of Lamb Weston. Please go ahead.
Dexter Congbalay: Good morning, and thank you for joining us for Lamb Weston's second quarter 2020 earnings call. This morning, we issued our earnings press release, which is available on our website, lambweston.com. Please note that during our remarks, we'll make some forward-looking statements about the company's performance. These statements are based on how we see things today. Actual results may differ materially and due to risks and uncertainties. Please refer to the cautionary statements and risk factors contained in our filings with the SEC for more details on our forward-looking statements. Some of today's remarks include non-GAAP financial measures. These non-GAAP financial measures should not be considered a replacement for, and should be read together with, our GAAP results. You can find the GAAP to non-GAAP reconciliations in our earnings release. With me today are Tom Werner, our President and Chief Executive Officer; and Rob McNutt, our Chief Financial Officer. Tom will provide an overview of our performance, some recent capital allocation actions, and an update on the current operating environment. Rob will then provide the details on our second quarter results and our updated fiscal 2020 outlook. With that, let me now turn the call over to Tom.
Tom Werner: Thank you, Dexter. Happy New Year everyone and thank you for joining our call today. We delivered another strong quarter as we continue to execute well, specifically sales increased 12% behind strong volume growth and favorable price mix in each of our core business segments. EBITDA, including unconsolidated joint ventures increased 17% while adjusted diluted earnings per share increased 19%, and in the first half of the year we generated $345 million of cash flow from operations. Because of our strong year-to-date results and good operating momentum, we’ve raised our fiscal 2020 outlook for both sales and EBITDA. As Dexter mentioned, I’d like to update you on some capital allocation actions we’ve recently taken, as well as our thoughts on the potato crop in the current operating environment. On capital allocation, in October we acquired a 50% ownership interest in a new joint venture in Argentina. This JV will provide us better access to a strategic and growing market where we have been under-represented. Before this investment, our market share in South America was less than 2%. While this JV is a modest side operation today, it provides a good base for expansion to serve the broader South American market with a low-cost high-quality product. This should enable us to drive faster share growth over the long-term. We also remain committed to reinvesting capital back in this business to support customer growth. We’ve added three new French fry lines since 2014. And despite these additions, our current capacity utilization is above our targeted operating rates, due to recent demand growth being faster than historical averages. While we are not prepared to announce any capacity expansion projects today, we are aggressively evaluating opportunities to expand production capacity inside and outside North America to support our customers growth. We look forward to sharing our expansion plans with your soon. In the meantime, we’re actively working to stretch existing capacity by debottlenecking lines and driving productivity. And finally, in addition to reinvesting back into the business, we remain committed to returning capital to shareholders. Last month, we announced a 15% increase in our quarterly dividend of $0.23 a share or $0.92 on an annual basis. That puts our dividend payout ratio at about 27% on a latest 12-month basis, which is within our target payout range of 25% to 35%. We will continue to supplement our dividends with share repurchases. In the second quarter, we bought back about $8.5 million of stock, which is largely consistent with our goal to at least offset equity compensation dilution. To do so, we estimate that we need to buy back around $40 million of stock annually. Now, switching to the potato crop. Recent press reports have led to market fears of raw potato and French fry shortages. As we discussed on our last earnings call, the crop in our growing areas in the Columbia Basin and Idaho will resource the vast majority of our raw potatoes and where we have most of our production facilities is consistent with historical averages in terms of both yield and quality. As a result, we expect to operate our plants there at normal utilization rates. In Alberta, Canada where we have one plant crop yields and quality are below average as a result adverse weather conditions during the growing season and harvest periods. However, we’ve been able to secure enough potatoes to operate that plant at normal rates. Nonetheless, overall potato availability in Alberta is limited. In Minnesota, where we have a single plant through our joint venture Lamb-Weston/RDO, crop yields and quality are below average, also due to poor weather conditions during the growing season and harvest periods. As a result, potato availability in the upper Midwest will also be limited. However, our partner in that plant is a primary supplier of raw potatoes and they expect to provide adequate supply for the plant to operate as planned. Also, we understand that the crops in other key growing regions such as Manitoba and Prince Edward Island are below average due to adverse weather. This limits the availability of potatoes in North America. It’s important to note that we do not currently source raw potatoes from these regions. So, let me be clear, given our concentration of processing facilities in the Columbia Basin and Idaho, as well as our strong grower relationships in Alberta and the Midwest, and most importantly, our decision to source open potatoes several months ago, we’re confident that we have raw potatoes to deliver our volume growth targets for the remainder of our fiscal year. However, potato supply in North America is tight and this may pressure our ability to pursue incremental volume growth opportunities both domestically and internationally for this crop year. Accordingly, we will continue to evaluate opportunities to improve price and mix in each of our business segments. Now, turning to Europe, the potato supply there is also expected to be challenging due to quality and late harvest weather conditions. Compared to last year's historically poor harvest, the potato crops in the Netherlands and Belgium this year are better, but still below average. The crops in Germany, Poland, and the UK are more challenged. As a result, raw potato prices in Europe remain elevated versus historical averages, but are below prices that we experienced last year. So, we expect that Lamb-Weston/Meijer performance will continue to improve, compared to last year as cost pressures ease in the second half of our fiscal year as a result of the new crop. With respect to the operating environment, we believe that industry capacity utilization rates in North America remain elevated during the second quarter and they will likely remain so for the remainder of our fiscal year subject to raw potato availability. We believe global demand growth for frozen potato products is generally favorable and will remain so through fiscal 2020. Similar to what we saw earlier in the year, U.S. demand in the second quarter continued to be underpinned by positive restaurant traffic trends and quick service traffic growth was strong, again, led by growth at chicken-based outlets. Demand in our key international market, as well as in Europe continue to grow in-line with recent trends. Together, these factors help drive our strong volume growth in the quarter, especially in our global segment. So, in summary, we delivered strong second quarter and first half results. We expect the overall operating environment to remain generally favorable for the balance of the year underpinned by solid demand growth. We are well-positioned with raw potatoes to deliver our volume targets. And finally, our successful execution of our strategy is generating strong cash flows, which allows us to continue to reinvent in the business to support growth and step-up cash return to shareholders. Now, let me turn the call over to Rob to provide the details on our second quarter results and our updated outlook.
Rob McNutt: Thanks, Tom. Good morning everyone. As Tom noted, we delivered another strong performance in the quarter and for the first half of the year. Specifically, in the quarter, net sales increased 12% to $1.019 billion with volume growth and favorable price mix in each of our core business segments. Volume increased 10%, led by growth in our Global and Food-Service segments. Our two acquisitions in Australia, Marvel Packers and Ready Meals, added about a point and half of volume growth. In addition, we had a couple of extra shipping days than we had in the second quarter of fiscal 2019, due to the timing of Thanksgiving. These extra couple of days contribute about another point of volume growth. As a result, this will pose a headwind to our Q3 results on a year-over-year basis. Price mix was up 2%, due to pricing actions and favorable mix. Our strong sales growth drove a $36 million or 14% increase in gross profit. Favorable price mix, volume growth, along with lower transportation cost drove the increase, more than offsetting the impact of higher manufacturing costs due to inefficiencies and higher depreciation expense associated with our new production line in Hermiston. In addition, the increase in gross profit includes a $4 million benefit from unrealized mark-to-market adjustments related to commodity hedging contracts. That’s compared to a $2 million loss in the prior year period. Our gross margin percentage increased about 65 basis points to 28%. Excluding the mark-to-market adjustments, it was up about five points. While we made a lot of progress improving our plant operating performance from the first quarter, in the second quarter, we continue to incur higher than normal periods of unscheduled operating downtimes, which affected our production levels. This impacted fixed cost absorption, raised overall maintenance costs, and lowered recovery rates. In addition, some of the cost that we realized in the second quarter was a carryover effect as we work through finished goods inventories from the first quarter. Since our plants are now operating at more normal levels, we expect only a modest carryover effect from these manufacturing efficiencies in our fiscal third quarter results. SG&A expense was $92 million, an increase of about $17 million. About $6 million of this increase was related to higher incentive compensation accruals based primarily on our performance. About $4 million of the change reflects an insurance settlement that we had last year, but this is partially offset by a $2 million reduction in foreign exchange losses. About $7 million of the increase related to investments in our sales, marketing and operating capabilities. Finally, more than $2 million of the increase was related to designing and implementing our new enterprise resource planning system. As we previously discussed, we expect to spend about $10 million to $20 million of one-time cost this year on implementing a new ERP system. To-date, we’ve spent about $4 million. So, we expect spending to ramp up in the second half of the year. Income from operations increased about $20 million or 11% to $194 million. This reflected solid sales and gross profit growth. Equity method investment earnings from our unconsolidated joint ventures, which include Lamb Weston/Meijer in Europe, Lamb Weston/RDO in Minnesota, and our new joint venture in Argentina were $15 million in quarter. Excluding mark-to-market adjustments, equity earnings increased $6 million, largely reflecting lower raw potato prices in Europe. So, putting it all together, EBITDA, including joint ventures, increased $38 million or 17% to $261 million. Operating gains by our base business along with contributions from the BSW consolidation and the Australian acquisitions drove about $32 million of EBITDA growth. Our unconsolidated joint ventures added about $6 million. Moving down the income statement, interest expense was about $25 million, which is about $1 million below last year. Our effective tax rate was more than 23%, or about two points higher than last year, due to discrete items. Turning to earnings per share, adjusted diluted EPS was up $0.15 or 19% to $0.95. Operating gains in our base business and higher equity earnings drove the increase. We also had an approximately $0.04 benefit from the BSW consolidation. Now, let’s review the results for each of our business segments. Sales for our global segment, which includes the Top 100 U.S.-based change, as well as all sales outside of North America, were up 15%. Volume grew 14%. The increase was driven by higher sales, including increased sales of limited time offerings to strategic customers in the U.S. and key international markets. It also includes a three-point benefit from the acquisitions in Australia and a one-point benefit from the additional shipping days related to the timing of Thanksgiving.  Price mix rose 1%, primarily reflecting pricing adjustments associated with multi-year year contracts. Global product contribution margin, which is gross profit less advertising and promotion expense, increased $17 million or 15%. Volume growth, favorable price mix and lower transportation cost drove the increase, which was partially offset by higher manufacturing costs and higher depreciation expense associated with our Hermiston line. Sales for our food service segment, which services North American food service distributors and restaurant chains outside the Top 100 North American restaurant customers, increased 9%. Volume increased 5%, led by growth of distributor private label and Lamb Weston branded products. About half of the volume increase was due to the additional shipping days in the quarter. Even after adjusting for the Thanksgiving ship, we delivered our fourth consecutive quarter of volume growth as our direct sales force continued to strengthen customer relationships. Price mix increased 4%, primarily reflecting pricing actions taken in October. Food service’s product contribution margin increased $14 million or 14%. Favorable price mix, volume growth, and lower transportation costs more than offset higher manufacturing costs and depreciation expense. Sales in our retail segment increased 7%, driven by four points of volume growth behind increased sales of branded and private label products. About 2 points of the volume growth was due to the additional shipping days in the quarter. Price mix increased 3%, largely due to favorable mix and pricing actions. Retail’s product contribution margin increased $3 million or 10%. Favorable price mix and volume growth drove the increase and was partially offset by higher manufacturing costs, depreciation expense, and A&P spending. Moving to our balance sheet and cash flow, our total debt at the end of the quarter was about $2.2 billion. This puts our net debt-to-EBITDA ratio at 2.6 times. With respect to cash flow, we generated nearly $345 million of cash from operations in the first half of the year. That’s up about 9% versus last year, driven by earnings growth.  We used about $135 million towards acquisitions, including a $17 million initial payment for our half of the new joint venture in Argentina. We also invested nearly $110 million combined in capital expenditures and IT-related projects. In addition, we bought back more than $13 million of stock and paid $59 million in dividends to our shareholders. Turning to our updated fiscal 2020 outlook, as Tom noted, because of our strong first half performance, we’ve raised our sales and earnings outlook for the full year. As a reminder, our targets include the contribution of a 53rd week that will benefit the fourth quarter. Overall, we continue to be prudent when updating our annual outlook. For the full year, we’re now targeting sales to grow at the high-end of our original mid-to-high single digit rate range. We continue to expect that sales will be primarily driven by volume and it will deliver price mix increases to offset input cost inflation. As you know, we delivered 10% sales growth in the first half, including a 2% higher price mix and robust 8% volume growth. We expect our volume growth will moderate in the second half for a number of reasons. In our global segment, volume growth in the first half of the year was faster than we had anticipated due to domestic QSR traffic growth above historical trends and international demand was also above our initial expectations. While we expect global demand will remain generally favorable in the back half of the year, we expect these trends may begin to normalize towards historical growth rates. Also, in our global segment in the third quarter, we’ll be lapping strong sales of limited time offering products. Also, in the third quarter, we’ll realize a headwind of approximately one percentage point due to a lower number of shipping days versus the prior year quarter as a result of the timing of Thanksgiving. This will affect each of our core business segments with the most pronounced impact in our food service segment. Finally, in our retail segment, we’ll realize the effect of losing some low margin contracts in our private label retail business. In short, we expect to drive solid sales growth in the second half led primarily by volume growth with modestly higher price mix. For earnings, we’ve increased our full-year target for adjusted EBITDA, including unconsolidated joint ventures to a range of $965 million to $985 million. That’s up from a range of $950 million to $970 million.  For the second half, we expect the gross profit will rise largely in-line with sales growth with volume growth and favorable price mix offsetting input cost inflation and higher depreciation expense. As a result, we expect that gross margin percentage will be essentially flat in the second half. However, gross margin in the third quarter maybe pressured as a result of difficult prior year comparison. Gross margin in the third quarter of fiscal 2019 included a $4 million benefit from unrealized gains on hedging contracts, a mix benefit, due to strong sales of higher margin limited time offering products in our global segment and cost benefit from supply chain efficiencies, especially around edible oil from transportation. Regarding SG&A, for the year, we continue to expect our base SG&A, which excludes advertising promotional expenses, as well as one-time ERP investments will be within our target range of 8% to 8.5% of sales. [Interest] expense in the second half should be a bit above the $11 million we spent so far. As I previously noted, we anticipate total ERP system implementation spending to ramp up versus a 4 million of one-time expense that we incurred in the first half. We continue to target total one-time expenses related to the project between $10 million and $20 million for the full year. With respect to equity earnings, we continue to expect that it will continue to gradually improve in the second half, despite the potato crop in Europe again being somewhat challenged. To summarize, in the second half of the year, we’ll deliver solid growth in EBITDA, including joint ventures driven by sales and gross profit growth, as well as improved earnings. This growth will be tempered by higher SG&A expense as we step-up spending behind our ERP implementation.  In addition, it’s important to note that we had an approximately $10 million year-over-year earnings benefit from the BSW consolidation in the first half of fiscal 2019 or 2020. Since we completed that transaction around mid-fiscal 2019, we’ll no longer have that benefit in the back half of this fiscal year. Finally, most of our other financial targets remain the same. We continue to target total interest expense of around $110 million, total depreciation and amortization expense of approximately $175 million, and total capital expenditures which includes some CapEx for our new ERP system of around $300 million. We’ve updated our effective tax rate target to be about 24%, that’s on the high end of our previous estimate of 23% to 24%. Now, back to Tom for some closing comments.
Tom Werner: Thank you, Rob. Let me sum up by saying, we’re pleased with our strong first half performance as we continue to execute well on a generally favorable environment. We’ve raised our sales and EBITDA targets for the full year and remain prudent with our updated outlook. We are well-positioned with our raw potato supply to deliver our volume target and support customers growth and we remain focused on reinvesting in our business to drive long-term growth, return capital to shareholders, and create value for all our stakeholders. I want to thank you for your interest in Lamb Weston, and we’re now happy to take your questions.
Operator: Thank you. [Operator Instructions] We will take our first question and that is from Andrew Lazar with Barclays. Please go ahead.
Andrew Lazar: Good morning everybody and Happy New Year.
Tom Werner: Happy New Year Andrew.
Andrew Lazar: Two questions if I could. Tom, I guess, first as you mentioned through fiscal 1H Lamb Weston sale was running close to 10% or so, even excluding the benefit of the holiday timing, to get to the high end of mid-single digit for the full year suggest some sales growth in the back half of something like low-single digits maybe 2% or so? And I realize that you and Rob went through some of the factors that drove sales growth to be above your expectations through the first half, but I guess – what I guess would drive this sort of pretty significant deceleration, particularly with favorable restaurant trend expected to continue? And then I just got a follow-up.
Rob McNutt: Hi Andrew, it’s Rob. Again, as consistent we think we're prudent with our outlook. As you say, mid – at the high-end of the mid-single digits, we may be stretch it out further than you do, and you said 6, and I think you go to somewhere in the 7% range is more where we think that ends up. But again, going through those individual elements there, again, we're anticipating that we’re going to return to more normal growth rates in the back half of the year where we had accelerated growth rates, especially in our international business in the Global segment.
Tom Werner: Andrew, this is Tom. I think the other thing, as we've been very consistent with our outlook to be prudent, a couple of things that I’ve alluded to on prior calls, the restaurant traffic trends have been favorable. The Q1 that was up 2% traffic, is up 1% this last quarter, which is significant and that's an area where it's really hard to predict. So, we're being conservative absolutely, but we got work – that's a trend we're monitoring going forward. And obviously if the trends continue as is, then we could see some upside to this.
Andrew Lazar: Got it. That's helpful perspective. Thanks. And then you mentioned the 1% price mix that you saw in the Global segment was primarily driven by multi-year contracts, and I'm curious if given some of the pricing – some of the incremental pricing that went into place more recently would – in Global, I guess, would your expectation be that price mix there accelerates a bit sequentially as we go into the back half of the fiscal year, or do I have that wrong?
Tom Werner: Yes. So, just to reset, Andrew, our global contracting ended up where we projected it to end up and there was pluses and minuses, net-net as we plan this fiscal year based on what we thought the environment would allow us to price it kind of ended up, where we thought. So, what you're seeing in Global relative to the pricing that we got through during the contract negotiations, it's going to be pretty stable for the balance of the year and I would say, remember when we have international volume growth like we have, it's been – again ahead of where we projected. The pricing in those international markets are different than our pricing in our North American markets. So, you get a dilutive pricing factor in that.
Andrew Lazar: Yeah. Got it. Okay, very helpful. Thank you so much.
Tom Werner: Yeah.
Operator: Thank you. We will go and take our next question. And that is from Adam Samuelson with Goldman Sachs. Please go ahead.
Adam Samuelson: Yes, thanks. Good morning and Happy New Year everyone.
Tom Werner: Happy New Year Adam.
Adam Samuelson: I guess I was hoping maybe [indiscernible] the discussion on the global business a little bit and if you could contrast a little bit some of the growth rates in your export business as North America relative to domestic, I mean the volume growth [indiscernible] put up, I mean, again, well in excess of the 1% traffic growth for QSRs that you just cited? I'm just trying to get a sense of, kind of, maybe geographies that are contributing. If you think the U.S. is gaining share from other export regions? Just any additional color there would be helpful.
Tom Werner: I'm not going to get into specific market growth rates. We don't – haven't typically talked about that, but what I will tell you and just reiterate is, the international markets at least this last quarter have grown above historical averages. And that's true for North America as well. So, you know, as we think about the go forward, again, we're being prudent in our outlook. And we've got a strong first half of growth across the international and North American markets in the Global Business Unit, and we'll see how it all plays out in the next several quarters, but it's just been strong demand quite frankly.
Rob McNutt: Yeah, Adam, this is Rob. The other thing I'd say related to that, Tom mentioned it in his comments that that – while the traffic maybe 1%, our weighting of customers in North America maybe a little stronger and that we’re weighted to the chicken side, maybe heavily, more heavily than the market and that's where they had outsized growth.
Adam Samuelson: Okay. That color is very helpful. And then just as we think about the impact of some of the raw potato shortages in different parts of North America, how – just tell us, not just the fiscal 2020 per se, but all of calendar 2020. Help me think through kind of how you think the market will absorb that or handle that? And if there were pricing and mix opportunities that would emerge, is that something that would happen in the May quarter, is it more of – do you think there is more pressure in August before you get to the next harvest, if you can lay out the calendar a little bit, just how some of those raw potato issues could have could affect the marketplace and how some opportunities may present themselves?
Tom Werner: Yeah, I think it's – my experience with situations like this is, you got to – you have to be patient and we'll see how this all plays out in the spring, quite frankly. And there are several things that the industry can do to augment potato supply whether it's harvest early, plant more acres, there’s a number of different things. So, it's really, Adam, a little bit early to speculate on what's going to happen. We have an idea, but we have to – the most important thing for us is, we are well-positioned with the raw potatoes that we’ve secured, we got ahead of it. So, we're going to take care of all of our customers' needs. We will opportunistically evaluate opportunities that may come our way, but our focus is to execute against our customers and the plans that they have and drive their growth. That's it. And you know, if there’s things that come our way, we'll evaluate it as they happen.
Adam Samuelson: Okay. I appreciate all the color. Thanks.
Operator: Thank you. We will take our next question. And that is from Tom Palmer with JPMorgan. Please go ahead.
Tom Palmer: Thanks, good morning and Happy New Year. You gave a lot of helpful color on the potato crop in North America, I hope you could maybe provide a bit of quantification on your annual outlook for potato and non-potato costs, and also, how you see COGS inflation in the second half of the year relative to what seemed to be low-single digit inflation in the first half?
Rob McNutt: Yeah, Tom, this is Rob. In terms of our inflation. Again, as we've talked about before, we contract the vast majority, I mean, in the high 90s of our needs for the year. And as Tom mentioned in his remarks, before things started to run up, our guys did a great job of getting ahead of it and contracting for the remainder of the potatoes that we needed a small amount additional that we needed. And so, we're still targeting our COGS inflation to be really in-line with what it's been in the first half of the year. And so those kind of low-single-digit inflation.
Tom Palmer: Okay, great, thanks for the color there. And then I just wanted to clarify something, you've mentioned a few times opportunities that may come your way on the price mix side. I just wanted to clarify, this is more related to potentially seeing a migration of customers who might not be able to get the volumes that they might typically procure from others or are you also considering maybe a regularly-timed list price increase?
Rob McNutt: It's more of the first, I would say, but again like I said earlier, we'll see how that all plays out. I've seen instances when we had situations like this with the raw in other areas of the world where everybody just managed through it. So, we just again have to be patient execute against what our plans are to take care of our customer needs and if there is customers that come to us, that are – want us to provide product and we'll evaluate that.
Tom Palmer: Okay. Thank you.
Operator: Thank you. We will take our next question from Chris Growe with Stifel. Please go ahead.
Chris Growe: Hi, good morning and Happy New Year, as well.
Rob McNutt: Good morning, Chris.
Chris Growe: Hi. I just had a question for you. First on comment you made about capacity utilization, and we're seeing this really strong volume growth, and I just want to understand how limiting this could be to your volume growth going forward perhaps around LTOs. And then given the time it takes to build capacity, I know you're always thinking about that, but I'm just trying to understand where we are in that thought process, because we see more capacity, and the need for more capacity coming more quickly.
Tom Werner: Yeah, Chris this is Tom. A couple of things. As I said in my prepared remarks, yeah, we're aggressively evaluating capacity addition in our current footprint inside and outside North America. That's number one. And the second thing is, our supply chain team has full core press on operating efficiency and projects on unlocking capacity in our footprint today. So, in terms of where we're at, I feel good about the near future if you will, on our ability to unlock capacity and drive efficiencies to support volume growth on a normalized level, but again to your point, what you're pushing at is, you know, we're evaluating additional capacity in our network and that's just a function of the overall category growth that we continue to see.
Chris Growe: Sounds like a good place to be in. I got that. Thank you. And then just one quick follow-on and perhaps it relates to the strong volume growth in the quarter, but you had a much stronger gross margin performance this quarter and pricing was just a touch below what I thought, but it sounds like that would more than compensate for the cost inflation, so was it just the volume growth and the efficiencies in the quarter that allowed for the stronger gross margin performance?
Rob McNutt: Yeah. Chris, this is Rob. We did have good gross margin performance and spot on. I mean, we had good pricing, especially in the Foodservice as you see, but really good cost control. I would say. And recall in Q1, we had some headwinds that we talked about in terms of operating inefficiencies and the plants not running particularly well. And so, a lot of that’s cleaned up and we operated better. We're still not all the way to bright through Q2, but a lot closer and so we cleaned up a lot of that, and so input cost inflation was managed well and then the operating level of the plants was a lot better.
Chris Growe: Okay, thank you.
Operator: Thank you. We will take our next question from Rebecca Scheuneman with Morningstar. Please go ahead.
Rebecca Scheuneman: Good morning and Happy New Year. So, I just, you know I'm really impressed with this volume growth in your Global segment, and I'm – you did mention that part of that was driven by some benefits to the chicken segment, I'm wondering also, if given your relative favorable sourcing of raw potatoes in your regions, how the quality – your experiences is better than some of your competitors [out there], if there's also some share gains possibly that is driving some of the strength?
Tom Werner: Yes, this is Tom. In terms of quality, kind of your first question, the industry is kind of on an even playing field. There is areas that are better. There is areas that are worse in terms of raw potatoes. So, I wouldn't attribute the volume growth, any raw quality advantages. It's all about getting ourselves positioned over the crop year to ensure that we have the raw potatoes available for our customers’ growth, and I've talked about this on this call at [indiscernible] but we're in a great position. So, it's not about the raw potatoes, it's about traffic and it's about the markets – in our global markets across the globe, the demand was just better than we expected and so it's really about what I talked about previously, we've had Q1, we had good traffic; Q2, we've seen an increase in traffic year-over-year. You know, so if that continues, then we're in a great position to support that.
Rebecca Scheuneman: Okay, great, thank you for clarifying that. And the second question I have is just, is it safe to assume that the negative hit in Q3 from the timing of Thanksgiving is also going to be about 1%?
Tom Werner: Yeah. I went through those details earlier. You can follow up with Dexter again to reiterate that.
Rebecca Scheuneman: Yeah, that's fine. Okay, thank you so much.
Operator: Thank you. We will take our next question from Bryan Hunt with Wells Fargo Securities. Please go ahead.
Bryan Hunt: Thank you. My first question and I'm sorry if I'm beating on the subject, but if you look at your global sales, they accelerated sequentially and even backing out the adjustment for the calendar, as well as the acquisitions you saw acceleration and that's with a declining trend in restaurant traffic, so based on the previous comments you saw QSR traffic up 2 , and then up 1, but yet your sequential growth accelerated. So, I was wondering if you could dive into that, were there any contract wins, do you see some incremental initial benefits of the shortages in parts of the world where you all took share? Again, it's a very important topic and I was just wondering if you could dig into it a little bit more for us?
Rob McNutt: Yeah, Brian, this is Rob. Again, as I talked about in prepared remarks that we did have good growth in the international side of our global business and then, and then good QSR growth here domestically. And then as we talked about our waiting in QSRs maybe some customers that had a little stronger growth rates. And so, I think that that contributes a lot of it and then as we look forward, again went through the comps and where we had some good LTO performance last year in the third quarter that we may not see this year in the third quarter.
Bryan Hunt: So, I guess, basically there is no reason for us to believe that there is a level of permanence that you all will grow above the industry overall.
Rob McNutt: Nothing that we’ve reflected to you know.
Bryan Hunt: My next question is, and thank you for the incremental color. The next question is, you all mentioned historically looking at capital allocation your target leverage is 3.5 times to 4 times, you're running at 2.6, based on your comments and you will generate significant free cash flow based on our projections over and above your incremental dividend and your maybe $40 million with share repurchase. So, basically, you all have to do something meaningful to get back within that 3.5 times to 4 times bandwidth, so do you all feel like you adjust your financial targets down to something lower in terms of leverage and if that's the case, do you feel like that makes you an investment grade company instead of a high yield company?
Tom Werner: Yes. So, it's Tom. You know, consistent with what we've talked about in the past. Since we've been public, we have three priorities. First one is, we're going to continue to invest in this business and that means adding capacity and that costs $350 million to $400 million when we decide to pull that trigger.  Second, we are going to actively pursue M&A. And third, we return capital to shareholders. And so, I'm comfortable with where our leverage is. I think our investment rating right now gives us the opportunity to pursue potential M&A as we have in the past. Now, branded they've been a small bolt on acquisitions, but I want to make sure I've got plenty balance sheet capacity to do a potential big deal that comes around.  So, I feel good about where our leverage is and it gives us, you know with our cash flow we're returning shareholder – we were returning capital to shareholders with a dividend increase that we just recently announced and our share buyback program. And I want to have some balance sheet available in order to pursue opportunities in the marketplace.
Bryan Hunt: Yeah, I guess the only thing, you know based on our math would get you back into that 3.5 to 4 churns of leverage would be a sizable acquisition, is there anything on the horizon, or is there anything out there available for sale that is sizable in your opinion at this moment?
Rob McNutt: Well, I'm not going to get into specifics. What I will tell you is, we're as active as we can be in the market.
Bryan Hunt: Very good, I'll hand it off to others and Happy New Year and I appreciate your time.
Rob McNutt: Thank you.
Operator: Thank you. We will take our next question from Carla Casella with JPMorgan. Please go ahead.
Carla Casella: Hi. On the CapEx side, I had a question. The 300 million CapEx, can you just remind us, how much of your CapEx is maintenance and do you have a sense for any other major projects beyond 2020 that we should be considering in our kind of go forward CapEx?
Rob McNutt: Yeah Carla this is Rob. The maintenance level of CapEx we've talked about in the past has been in the 115 to 125 range, somewhere in that 120-ish range and really, the only thing that you may think to – think about is, Tom’s comment in the not too distant future. We're going to have to add some capacity. And so, think about it in those terms and we've talked about that in the past.
Carla Casella: Okay, great. And then on the Thanksgiving timing shift, you mentioned it added about a point of growth this quarter, did you – I don't think I heard you, did you quantify how much you expect that to take some growth in the next quarter?
Dexter Congbalay: Yeah. Hi, it's Dexter, Carla. It's not the same, it's a pull-forward. That's all.
Carla Casella: Okay, great, thanks.
Dexter Congbalay: [Indiscernible] your last question. So, this is Dexter, if anybody who wants to have a follow-up conversation just email me and we’ll set up a time. Other than that, Happy New Year to everyone and have a good weekend.
Operator: Thank you. Ladies and gentlemen, this concludes today's conference. All participants may now disconnect.